Operator: Good afternoon, ladies and gentlemen, and welcome to the Boardwalk Real Estate Investment Trust Fourth Quarter 2025 Earnings Call. [Operator Instructions] This call is being recorded today, Friday, February 20, 2026. I would now like to turn the conference over to our first speaker today, Eric Bowers, Vice President of Finance and Investor Relations. Please go ahead.
John Bowers: Thank you, John, and welcome to the Boardwalk REIT 2025 Fourth Quarter Results Conference Call. With me here today are Sam Kolias, Chief Executive Officer; James Ha, President; Gregg Tinling, our Chief Financial Officer; Samantha Kolias-Gunn, Senior VP of Corporate Development and Governance; and Samantha Adams, our Senior VP of Investments. We would like to acknowledge on behalf of Boardwalk, the treaties and traditional territories across our operations and express gratitude and respect for the land we are gathered on today, and we now know as Canada. We respect indigenous peoples and communities as the original stewards of this land. We come with respect for this land that we are on today for all the people who have and continue to reside here and the rich diversity of First Nations, Inuit, and Métis peoples. Before we get to our results, please note that this call is being broadly distributed by way of webcast. If you have not already done so, please visit us at bwalk.com/investors, where you will find a link to today's presentation as well as PDF files of the Trust's financial statements, MD&A and annual report. Starting on Slide 2, we would like to remind our listeners that certain statements in this call and presentation may be considered forward-looking statements. Although the expectations set forth in such statements are based on reasonable assumptions, Boardwalk's future operation and its actual performance may differ materially from those in any forward-looking statements. Additional information that could cause actual results to differ materially from these statements are detailed in Boardwalk's publicly filed documents. I would like to now turn the call over to Sam Kolias.
Sam Kolias: Thank you, Eric. Starting on Slide 4, welcome, everyone, to our Boardwalk Family Forever and to our year-end 2025 results. Redefining BFF, Boardwalk Family Forever is at the top of our organizational chart. Family is everything. Affordable multifamily communities have always been an essential product and service. Together with our residents, our associates, investors, partners, capital environment, community, we are all essential and interconnected family members with our true north where love always lives. Together, we go far. Our leaders put our team first and our team puts our resident members first. Guided by the golden rule, we have a peak performing customer service culture that creates exceptional results as we continue to see on our next Slide 5. Our continued impressive performance with GAAP and non-GAAP measures increasing from the same quarter last year, same-property rental revenue increased 5.8% and same-property net operating income increased 9%. Our operating margin increased by 190 basis points to 66.4% as well as our funds from operation per unit increasing by 11.2%. I would like to now pass it over to Samantha Kolias-Gunn.
Samantha Kolias-Gunn: Thank you so much, Sam. We are extremely grateful for our team, our Boardwalk families perseverance, performance and continued commitment to our purpose, bringing our resident family members home to love always. Continuing on to Slide 6, our operational stability and commitment to affordable housing. Rental market fundamentals in our core markets are balanced. Demand continues for more affordable housing despite supply deliveries focused on higher-end luxury products to justify high construction costs. We are so grateful for our partnership with CMHC and our federal government that have implemented effective public policy to build more supply that has resulted in a balancing of the rental markets across Canada, providing more affordability to all Canadians. We are well positioned to deliver on our commitment to provide much-needed affordable housing in a more competitive environment with our experienced peak performing team, exceptional product quality from the $1 billion invested since 2017 in rebrand and repositioning efforts and dedication to our Boardwalk family as responsible community providers. Our self-regulation provides us with continued steady results as we remain flexible with our rental rates, producing greater stability in occupancy, margins, NOI and reputation paired with our strong financial foundation, minimum distribution policy, resulting in maximum reinvestment and free cash flow, strategic repositioning, unparalleled customer service and on our foundation of strong family values, we remain in a position to deliver solid performance. This is what sets us apart, bringing new home to where love always lives. Boardwalk strives to be the first choice in multifamily apartment communities to work, invest and call home with our Boardwalk Family Forever. Moving on to Slide 7. Our strategic rebranding enhances our resident member experience and exceptional quality at an affordable price, keeping our occupancy high at 97.6%. Per rentals.ca data, our average occupied rents of $15.90 per 2-bedroom apartment are attractive, especially relative to the Canadian average of $22.45. Moving on to Slide 8. Alberta continues to see positive population growth with small relative amounts of nonpermanent residents. Affordability continues to drive positive population and leading economic growth in our core markets, Alberta and Saskatchewan, reflected in our appendix. Quebec has delivered exceptional results, further evidencing the strong demand for affordable housing. Ontario remains stable. We are strategically in all the right places at the right time. Please refer to our appendix for more data on the resilience of the Alberta economy and renewed Alberta advantage. We would like to now pass the call on to Gregg Tinling, who will provide us with an overview of our quarter results, strong balance sheet, fair value and ESG. Gregg?
Gregg Tinling: Thank you, Samantha. Beginning on Slide 9, occupancy remains strong, supported by continued growth in occupied rent. While vacancy loss increased, the trust effectively reduced leasing incentives, which contributed to the higher rental revenue reported in Q4 2025 compared to the same period last year. These results reflect the success of our strategic initiatives aimed at maximizing free cash flow and diversifying our product offering, delivering meaningful financial performance. Of note, the decrease in rental revenue shown for Q3 2025 as compared to the second quarter is due to properties that were sold -- that were previously included in the same property portfolio as reported in Q2 2025. Slide 10 provides an overview of leasing spreads for new and renewed leases under our self-regulated resident-friendly centric model. This approach continues to drive strong retention and referrals while keeping turnover and operating expenses low. On a year-over-year basis, leasing spreads have moderated, reflecting a more balanced supply-demand environment. Increased supply in select portfolio markets, particularly at the higher price points has led to greater competition and vacancy. Q4 2025 reflected a return to typical seasonality, coupled with reduced migration activity, this led to softer traffic, prompting us to concentrate on our priority of sustaining strong occupancy levels. Our strategic flexibility with new rental rates enabled us to preserve elevated occupancy while maintaining solid operating margins and net operating income. We remain focused on maintaining high occupancy and maximizing resident retention. This strategy reinforces our commitment to providing affordable resident-friendly housing in our core markets while also reducing costs and steadying operational performance, delivering long-term value for all stakeholders. Slide 11 shows sequential quarterly rental revenue growth, including 0% growth in Q4 2025 compared to the previous quarter. The change over each quarter is a reflection of Boardwalk's strategy, striving toward balancing the optimum level of market rents, rental incentives and occupancy rates in order to achieve its NOI optimization strategy. Turning to Slide 12. Same property net operating income increased by 7.3% in Q4 2025 compared to the same quarter last year. Supported by revenue growth of 4.5%, Alberta, the Trust's largest region, contributed meaningfully to this performance with a 4.4% increase in rental revenue, driven by stronger in-place occupied rents and reduced leasing incentives. Total rental expenses declined by 0.6% year-over-year, primarily due to lower utility costs with the removal of the federal carbon tax, alongside reductions in property taxes and insurance premiums. Slide 13 highlights administration costs and deferred unit-based compensation. Overall, total administration costs for the year increased 2.4% compared to 2024, mainly due to inflationary wage adjustments at the onset of the year. Deferred unit-based compensation decreased 11.7% year-over-year due to an $850,000 onetime true-up adjustment in the prior year to recognize unvested deferred units that would automatically vest if the participants who are eligible were to depart from Boardwalk. Slide 14 outlines Boardwalk's mortgage maturity schedule. The Trust's debt portfolio is well staggered with approximately 96% of the mortgage balance carrying NHA insurance through the Canada Mortgage and Housing Corporation. This insurance remains in place for the full amortization period and backed by the Government of Canada, enables access to financing at rates below conventional mortgage levels with a current estimated 5-year and 10-year CMHC rate of 3.45% and 4%, respectively. Although current interest rates are above the Trust's maturing rates over the next few years, the trust maturity curve remains staggered, reducing the renewal amount in any particular year. Lastly, the Trust has an interest coverage of 3.08 in the current quarter. In 2025, the Trust renewed $403 million at an average interest rate of 3.72% and with an average term of 6 years. In addition, the Trust made mortgage principal repayments totaling $79 million during the year. To date, of the $832 million of 2026 mortgages maturing, we have renewed or forward locked $228 million at an average rate of 3.72% and an average term of approximately 8 years. Combined with our cash on hand as well as our unused credit facilities, we are well positioned with strong liquidity available. Current underwriting criteria in our most recent submissions to CMHC and our lenders has remained in line with our historically conservative estimates. Please refer to Slide 49, which summarizes our 2025 mortgage program completed and Slide 50 for additional details on our 2026 mortgage program. Slide 15 illustrates the Trust's estimated fair value of its investment properties, excluding adjustments for IFRS 16. As of December 31, 2025, the fair value of investment properties totaled $8.7 billion compared to $8.2 billion as of December 31, 2024. The increase in overall fair value is the result of new acquisitions during the year and increases from rental rate growth while being slightly offset by dispositions of noncore assets and increase in cap rates in select markets, along with an upward adjustment for vacancy assumptions in Calgary to reflect a more balanced market. Current estimated fair value of approximately $247,000 per apartment door remains below replacement cost. In consultation with our external appraisers, the cap rates used in determining Q4 2025 fair value increased from Q4 2024 and Q3 2025, as cap rates were increased in Ontario, Victoria as well as the Trust's secondary markets in Alberta. The increase in cap rates were in response to either increased pressure on market rents or to reflect slightly higher risk fundamentals. As it does every quarter, the Trust will continue to review completed asset sales, transactions and market reports to determine if adjustments to cap rates are necessary. Most recent published cap rate reports suggest that the cap rates being utilized by the Trust for calculating fair value are within their estimated ranges. Slide 16 highlights our ESG initiatives. We'd like to highlight our 2025 GRESB score of 72, which represents a 7.5% increase compared to the prior year. Using a disciplined capital allocation approach, we are focused on reducing emissions through reduced utilities consumption and therefore, reducing utilities costs while always promoting social and governance initiatives. We encourage our stakeholders to view our 2024 ESG report available on the Trust's website. I would like to now turn the call over to Samantha Adams to highlight our capital allocation initiatives.
Samantha Adams: Thank you, Gregg. 2025 was a year of tactical, disciplined capital recycling and allocation. As we move into 2026, we are maintaining this approach and continue to focus on our value-add repositioning initiatives, targeted dispositions of our noncore communities and unit repurchase program under the NCIB. Slide 17 illustrates how the reinvestment of our free cash flow back into our communities significantly increases the value proposition for our resident family members by upgrading common areas and adding meaningful amenities to enhance our overall experience. These renovations in turn help us strengthen market share in a more balanced market, boost retention and improve occupancy, ultimately enhancing our NOI and operating margins. In 2025, we completed the repositioning of 20 communities and since 2017, have undertaken renovations across the majority of our portfolio. Our strategy is to continue with our renovation program and have 16 projects planned for 2026. Slide 18 demonstrates the ongoing disconnect between our unit price and the value of our portfolio. Our NCIB continues to be a key capital allocation tool, helping to drive our compounded FFO per unit growth by over 12% per year since 2021. Over the past year, we invested $57.3 million into our unit repurchase program at an average price of $63.81. We have remained active with our buyback strategy. And to date in 2026, we have tactically deployed $18 million under the NCIB at a weighted average price of $67.63. This investment in our units and our platform remains the most accretive use of our capital today at implied yields exceeding 6%. Slides 19 and 20 present a summary of the acquisitions and dispositions successfully completed or recently announced. In 2025, we acquired $551 million in new properties located in Montreal, Calgary, Regina and Saskatoon at an average cap rate of 5%, representing our lifestyle and community brands. We also completed the sale of $241 million of noncore properties in Quebec City and Edmonton. And subsequent to year-end, we have completed or announced the sale of an additional $84 million of noncore properties. Two are located in Montreal and 3 are located in Edmonton. Our dispositions were sold at an average cap rate of approximately 5% and represent an average vintage of 1982. These successful dispositions completed at pricing in line with our fair value have enabled us to strategically redeploy capital towards the strongest risk-adjusted opportunities as summarized on Slide 21. And today, we anticipate remaining active under the NCIB and continuing the disposition program of our noncore properties at levels comparable to or exceeding 2025. I would now like to turn the call over to James Ha to discuss our track record of creating value and our updated 2026 guidance.
James Ha: Thank you, Samantha, and thank you to our entire Boardwalk team for your service and commitment to our resident members, which has resulted in the strong 2025 results our team is sharing today. Our focus on investing in and delivering the best quality and affordable communities is why our residents make Boardwalk their first choice as the place to call home and reward our team with continued high occupancy and high retention rates. Slide 22 introduces our 2026 outlook as we build off our base of accretion-focused capital allocation and strong operating platform that provides resident-friendly affordability, product value and value in our communities. With the housing market that is more balanced, we continue to see that the demand for affordable housing remains resilient, and our outlook for the upcoming year is positive. 2026, we are anticipating same-property NOI growth of between 1.5% and 4.5% and FFO per unit of between $4.65 and $4.90. Please note that this forward-looking guidance does not include any potential asset dispositions, and we will be regularly updating and refining our outlook in the quarters to come. On Slide 23, we are pleased to announce an 11% increase to our regular monthly distribution equating to $1.80 per trust unit on an annualized basis beginning in March. Since 2021, our distribution has increased at a compounded annual growth rate of over 10%, while still retaining an industry high proportion of our cash flow to reinvest and compound growth. Our formula has extended our FFO per unit track record. And in 2025, we have more than doubled our FFO per unit in just 8 years. On Slide 24, this FFO growth, along with our approach to maximum cash flow retention has improved our leverage metrics to provide Boardwalk with one of the strongest and most flexible balance sheets. By retaining and recycling our own cash flow, we are able to grow while also consistently improve our leverage metrics, which provides the Trust with significant flexibility and liquidity to take advantage of opportunities that arise. One of these opportunities is shown on Slides 25 and 26, which highlights the exceptional value that our trust units represent. Our current trading price equates to less than $200,000 per apartment door at a mid-6% cap rate on a forward basis. Both metrics are exceptional when considering our product quality, locations, spread to financing costs and consistent cash flow growth as shared in our outlook. Recent private market transactions continue to be supportive of our estimated net asset value of $247,000 per door or $96 per trust unit. With the value our trust units represent, we are currently prioritizing investing in our own assets and platform through our normal course issuer bid with a planned minimum investment of $100 million to take advantage of this very attractive pricing and valuation in our own high-value platform. In closing, our team continues to be focused on delivering the best quality and value in housing to our resident members. Our unique operating platform and experienced team continues to demonstrate our ability to create value for all our stakeholders as we consistently deliver leading organic and FFO per unit growth that is increasing our free cash flow and operating margins. We would like to thank our resident members, our team, our partners and all our stakeholders for an exceptional 2025. We are looking forward to continuing our track record of growth into 2026, providing communities that our resident members are proud to call home. We'd now like to open up the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Dean Wilkinson from CIBC.
Dean Wilkinson: Maybe just high level, the news last night, probably not a surprise to anybody. But can we just sort of get your thoughts on what you think a referendum could mean just for population growth, demand, things like that? I know the outcomes could be varied and very hard to peg, but just how are you thinking about that?
Sam Kolias: Thank you, Dean. It's Sam. And it's hard to see very many lineups and crowds just anecdotally on referendum. And I'm not too sure which referendum because there was a number of referendum questions yesterday, and then there's also the referendum on separation. And the good news over the summer, there was a lot of crowds on the petition for Canada and to keep Canada together. And personally, I saw a lot of people, and we saw the most sign-ups on keeping Alberta in Canada, more signatures than we've ever received. So that's what we're looking at, and we're not really aware and the friends that we have are for Alberta in Canada. I don't really know very many personally. It's best that we stay together. That's a good public policy. And the referendum that we just got yesterday with immigration, on that immigration or referendum question, we agree with the best case examples on public policy that are premier noted during our Harper administration. And the positive migration, the economic growth that came with it and the very sustainable immigration policy that we did have during the Harper administration where a lot of folks that we need to build more schools help us with our hospital, health care teachers, all the trades that we continue to need. That has been proven public policy that our premier is pointing out that is for everybody's benefit and what our premier is championing for that, by the way, we are champions of sustainable population growth that we need. And so that's our thoughts on the 2 referendum questions.
Dean Wilkinson: Yes. I guess it's an issue that you wouldn't have to talk about it if everyone didn't want to be there. So it's a positive, I suppose. Maybe on a little more of an esoteric note. Sam, you've kind of embraced technology in the past. You've made technology platform investments. AI has been -- is kind of rolling through the market as this disruptive force over the past couple of weeks. How are you guys thinking about what AI could do for the business and perhaps how that could help managing multifamily as we go forward? Because I would imagine it's not a disruptor, but perhaps more of an enabler.
Sam Kolias: Correct. It's Sam again, Dean. And we use our tools and technology to increase our productivity, to decrease our costs, to increase our resident member experience. And we've seen some positive time-reducing benefits from the tools that we've developed. We've also seen and we've all experienced the challenges with AI and anybody on this call that's tried to deal with a chatbot alone shares our collective frustrations with just AI. So it's absolutely clear that the choice is essential and human intelligence is still superior to artificial intelligence. And together, we have to use artificial intelligence as a tool and recognize that and always provide the choice for our resident members to channels that quickly allow access to either one of our amazing personal service associates, managers versus a chat box that for some tasks are acceptable and simple. So I guess it's more us as a tool, our productivity. The information, the reports that we see, the dashboards, very, very helpful to see the data that we continue to use and harvest to make the best decisions for our productivity and our resident member experience.
Dean Wilkinson: Great. You and I are both big fans of human intelligence.
Operator: Your next question comes from the line of Fred Blondeau from Green Street.
Frederic Blondeau: I'll keep the subject of referendums for the [indiscernible]. A question for James here. Just looking at your SPNOI guidance. I was wondering if you could give us a sense of the main assumptions on each end of the spectrum because it looks a bit wide on our end.
James Ha: Sure, Fred. It's James. Let me start and the team feel that we're missing anything. But when we look at same-property NOI, the approximate breakdowns are revenue between about 2.5% and 4%. And then on the operating expense side, generally between 2% to 4%.
Frederic Blondeau: Got it. And would you say you see greater risks on the demand side for '26 or more on the supply side or a mix of both?
James Ha: It's certainly a mix of both, Fred. We, for the first time in a long time, are seeing a much more balanced housing market across Canada. And where is that coming from? Well, that's coming from the additional supply that we as Canadians needed in the housing market. As you know, most of that supply that's being -- that has been delivered and is being delivered is primarily at the upper end of the rental market because of the cost of construction. And so we do see the upper end of the rental market continuing to be competitive. Where we are seeing strength and resilience, though, is affordable housing. And fortunately, with our portfolio average rent of below $1,600, we think the majority of our portfolio is going to continue to see the benefits of that. And so through the winter months on the demand side, as Gregg talked about in his prepared remarks, we did slower traffic this winter, kind of the return to seasonality. We had cold weather pretty well across the country and we saw that reflected in terms of traffic. With February now and as we get into the spring rental season, we have seen that pick up. And so February so far, so good. In the first 19 days of February, we're almost 90% covered of our turnover, which is a great sign. And so we are seeing the early signs today of what could be a good return to spring rental season.
Operator: Your next question comes from the line of Brad Sturges from Raymond James.
Bradley Sturges: Just to maybe expand on that line of questioning that Fred had there. Just I guess -- and I appreciate the chart you gave on leasing spreads to date. Just in terms of what's occurred in January and February, can you give a sense of the type of turnover you're seeing? I know that the focus is more on retention, but is there a little bit more specific breakdown you can give in terms of the breakdown of the suites turning either by affordability price point or other metrics?
James Ha: Brad, we don't have the exact stats to be able to deliver them right now. However, we have looked at the type of turnover that we're getting, and we're seeing primarily at the upper end. Again, as we talked about, what we're seeing is that our more affordable product, the availability of that remains very close to 0. We've shared this story before. If anybody was looking to move to Alberta and Saskatchewan and you needed to move here for March 1 and your budget was $1,500, I would say, hey, we're going to have to do some work to find you that apartment. If you came to Alberta or Saskatchewan and your budget was $2,200, there's availability at that price point. And so as a result of that, because there is more availability, more choice at that upper end, that's where you are seeing more velocity and movement from a resident standpoint. But we did add on that leasing spreads graph, our volume and number of leases completed in each month. And so as we can see there, the winter months are slower. We remain focused on retention. And as we talked about with the pickup so far with what we're seeing in February, we do anticipate an improvement in those new leasing spreads.
Bradley Sturges: Right. That's helpful. I guess, can you comment also in terms of like incentives have been trending down to the end of the year? Like how are you using incentives, I guess, within Q1? And then how would you expect that to trend over the rest of the year?
James Ha: Yes, fairly sporadically. I mean our team always has the ability -- our leasing team always has the ability to use what we call pocket incentives. But our approach has really just been to adjust market rents when needed. Obviously, through the winter months, our strategy and approach was to maintain our high occupancy. And so we remain really flexible with those incentives. I think going forward, as we move into the spring rental months or pardon me, the spring rental season, we'll adjust market rents up or down accordingly depending on how the leasing season goes. The outlook for incentives, though, our team has done a remarkable job, a phenomenal job in terms of bringing those down. Going forward, we'll likely just focus on what that net rents number is and make those adjustments to face rents as appropriate.
Bradley Sturges: And just last question on the revenue guidance there, the 2.5% to 4%. Could you break that down just by renewal spreads, new leasing and what you're expecting for occupancy?
James Ha: Yes. Occupancy, our strategy is always to maintain high occupancy. And so we're very happy with our occupancy levels today of almost 98%. We'd love to see that creep a little bit higher. But practically speaking, the 97% to 98% mark is a good mark to have and a target that we have built into our forecast. Renewal spreads, again, we've been quite consistent there. As we look forward, our team and our retention teams are already negotiating renewals into April and May, and we're seeing very consistent results. And then on the new leasing spread side, again, as we get into the spring rental season, we would be looking for those to improve. And that only happens because we are going into the spring rental season with 98% occupancy or very close to 98% occupancy. And so when I look at the cadence there, we expect renewals to remain consistent and then an improvement from what you saw in December and January for new leasing spreads as we move into the spring.
Operator: Your next question comes from the line of Golden Nguyen-Halfyard from TD Securities.
Golden Nguyen-Halfyard: Just to add on to the same-property NOI question from earlier. What do you think are some of the drivers that would put you guys on the top end of the range versus the bottom end of the guidance you guys provided?
James Ha: Yes. Great question, Golden. It's James again. Certainly, a strong spring rental season would allow for that. Again, we see continued strong demand for the more affordable product. I think if we can see a strong influx of demand in our markets during spring/summer, that could set us up well to hit the upper end of that revenue range that we talked about earlier. In addition to our team is always focused in on our controllable costs. As we know, our team has been -- has performed very well on that each year over the last several years. And on the controllable side, we have initiatives that we're driving that -- we're aiming to improve on those as well. And so if we can get some wins on those, that could potentially help us move towards that upper end. On the noncontrollable side, property taxes is a big one that Gregg and team and we flagged last November. We are forecasting a slightly elevated property tax increase this year. And again, we're active on assessments, appeals and working with our city counselors at the municipal level to see if we can bring those property taxes to more sustainable levels going forward. And so each of those components, Golden, are inputs into that, and we'll be working very hard on our side to outperform, as always, our forecast here.
Golden Nguyen-Halfyard: Great. Maybe one more from my end, just on capital recycling. You've made good progress last year. Maybe if you could talk a bit about how you're feeling about the disposition environment for 2026. And maybe add a bit on the acquisition market and what you're seeing today and maybe the pace you can expect to see for 2026.
Samantha Adams: Golden, it's Samantha Adam speaking. Yes, we foresee a similar program as we rolled out in 2025 and 2026 in terms of the dispositions. So we suspect levels will be similar or exceeding 2025. And then in terms of the acquisitions, we're not active today on the acquisition front. It's been relatively quiet, I would say, over the last couple of months. But we're always open to opportunities. But as of today, we're not actively pursuing anything.
James Ha: It's hard to compete with our stock buyback right now and the opportunity that we have with the exceptional value our stock represents the 6.5% cap rate on a forward basis that we're trading at, our stock looks like a great place to be recycling capital into, Golden.
Operator: Your next question comes from the line of Sairam Srinivas from ATB Capital Markets.
Sairam Srinivas: Just probably looking at your comment on new leasing spreads, James. When you look at tenants moving out in the last couple of months now, are you seeing many of them compete with these newer assets? And when you are looking at your new leasing spread coming down, what are these competing assets like over there?
James Ha: Yes. I mean there is more availability in the marketplace that upper end with deliveries. And again, this is across the country. We saw -- because of the lower traffic in December, January, pretty well across the country, we saw lower volumes and lower guest cards, lower traffic, which, again, to maintain our high occupancy, there was great deals that we had provided residents that moved in during those months. But the new competition for the most part, we're seeing at our more expensive product within our portfolio. That's where we're seeing the most competition. In our more affordable product, again, that's where it remains fairly resilient, and we continue to see strong demand and strong occupancies and spreads there. I don't know if that answers your question?
Sairam Srinivas: It does, it does. And I'm just thinking from the perspective of the higher-end units in the market right now coming down, competing because -- and thanks to incentives, I guess. Are you actually seeing a lot of these competing units being incentivized by the supply coming in?
James Ha: Yes. On a net rent basis, I mean, you see incentives in the marketplace. I mean all you have to do is go to RentFaster or Apartments.ca, and you can see 1 month, 2 months being offered in those newer products that are getting delivered. Again, this is pretty well what we're seeing across the country. Good news in Alberta, Saskatchewan specifically, we are seeing with the increased traffic with the spring rental season and some of those buildings are pulling back. Even ourselves included, if I think of our 45 railroad community in Brampton, we've had to provide some strong incentives and strong discount offerings over the winter months to obtain our full occupancy status that we have there. But getting to that full occupancy status allows us [indiscernible] then pullback on those discounts. And so you're starting to see that in the new builds that have gone through absorption. But it's really dynamic and fluid though, Sai. I would say, again, we anticipate that upper end, that north of $2,000 price point to continue to remain competitive.
Sam Kolias: Sorry, it's Sam. And Slide 46 on move-outs is pretty descriptive of what we're seeing. So Q-over-Q, we're seeing a drop in turnover. And one of the reasons for moving out, which we're really pleased about is the reason for cost. That's going down, as you can see, from 271 in Q4 move-outs because of cost down to 191 due to cost. So the affordability is key, and we're seeing higher wages, inflation in wage pressure, settlements increase and [indiscernible] updated the average wage as much higher, too. And our rents just aren't going up as fast anymore across the country. And so that affordability, that balance we're seeing in the marketplace is very healthy because an affordable housing market and especially affordable rental housing market is mission-critical to a solid economy.
Operator: Your next question comes from the line of Mike Markidis from BMO.
Michael Markidis: I guess, so you clarified that on the dispositions, you expect to be as active, if not more active this year. And then it sounds like you're going to lean more into the NCIB with proceeds this year. What's changed? Because last year, you guys bought over $500 million and just looking at the stock chart, like on a range-bound basis, your stock was kind of at a similar level. So what makes it more attractive today than last year?
James Ha: Mike, it's James. I mean, for one, our earnings are about 10% higher already versus this time last year, and we continue to see growth, as you can see in our guidance for 2026. And so the yield on that continues to be higher. In addition to, I think from an acquisition standpoint, as Samantha had talked about, we're looking for opportunities. We're always going to be open for opportunities, but we're also looking for those best deals as well. And so as of right now, as Samantha had shared, we haven't found that one yet. And with our cash flow model, we have capital and liquidity to invest every single day. And so right now, with what we're seeing, stock buyback looks like a great place to be allocating capital and proceeds from dispositions.
Michael Markidis: Okay. And just a follow-up on that. You guys obviously did a great job bringing down your leverage from in excess of 13x to the current level of around 10. Is that sort of considered to be the new normal going forward for Boardwalk, absent material change in your cost of equity? Just how are you guys thinking about that?
James Ha: Mike, it's James. The new normal for Boardwalk, which is declining debt-to-EBITDA is going to be the new normal, but at 10, that's not our goal. We continue to strive to reduce that debt to EBITDA. And again, that naturally is going to happen because of our cash flow model -- cash flow retention model and cash flow growth model for that matter. And so when you put those 2 together, we organically will continue to reduce that debt to EBITDA and look forward to continuing to execute on that.
Michael Markidis: Okay. And then just last one for me. You've guys been able to push your turnover down. It keeps trending lower. You've got good visibility into the spring leasing season. So from now, I guess, is there anything to suggest that turnover will continue to grind lower? It's going to stay stable or in the spring will we start to see that tick back up?
James Ha: Yes, we'd like it to be lower, Mike, because as we know, in Alberta and Saskatchewan, specifically, our team does a great job with our retention and balancing that turnover with spreads and costs. As we look into the spring season, historically, you generally see a little bit of a higher turnover in the spring and summer months, which I would expect that. But overall, on a trend basis year-over-year, we would aim to continue to lower that turnover on a year-over-year basis.
Operator: Your next question comes from the line of Kyle Stanley from Desjardins.
Kyle Stanley: Just kind of sticking with the commentary around spring leasing. Can you quantify maybe the uptick in demand you're seeing so far into the spring and how that may compare versus what you saw last year? And is there anything else driving it other than seasonality? Just trying to really understand the confidence in really seeing the demand pick back up.
James Ha: We were looking at our guest cards, which is traffic. And when we look at guest cards so far in the first 19 days of February versus the first 19 days this time last year, we're about bang on -- and so that compares when we're looking at our guest cards for December and January, we were down about 20% year-over-year. And so we have seen that pick up. We've asked our teams on the ground. Is this -- how does this feel team? Is it more immigration? Is it pent-up demand? And from our team's perspective, so far, again, this is just what we're hearing from the ground is a little bit of both. When we look at our phone inquiries, we still continue to see a lot of 416, 905, 604 area codes calling into our sites. Certainly, weather plays a part of this, Kyle. We had cold winters across the country in December. And so there is -- that plays into that seasonality. But so far, so good. With what we're seeing in the first 19 days of February, again, I quoted earlier how much of our turnover has already been leased up. With what we're seeing right now, we do see some increased traffic and velocity heading into the spring. And again, our confidence on this comes from starting at close to 98% occupancy. And so we're not having to fill up at the same time. We really like being full heading into this busier season.
Kyle Stanley: Right. Okay. No, that's helpful and kind of brings me to my next question, I guess, your ability to not have to fill up while also leasing, does that give you confidence that the negative 5% new leasing spread, does that trend closer to flat as we get into the stronger months? Or do you expect new leasing spreads to maybe stay in the negative range for the bulk of the year?
James Ha: We are seeing improvement on it right now as we speak. Again, that's in the first 18 days of February. And I'm quoting 18 because our data does lag a day or so. But let's not forget that 75% of our deal flow comes from retention and renewals. And so you see the renewal spreads there. They remain positive. Again, we're negotiating 2, 3 months in advance already, and we're seeing consistent results there. And so retention is key in our markets. And so far, so good on that front as well, Kyle.
Kyle Stanley: Okay. I appreciate that. And just one last one, just on your kind of higher level outlook for market rent. I mean it seems like most of the focus today is on the timing for positive rent inflection. I just love your thoughts on when do you see that occurring? Is it a late '26 event? Or do you think that gets pushed into '27? Just love your high-level thoughts.
James Ha: Yes. High level thoughts, again, it's James here, Kyle. High level, I think it depends on price point and it depends on product type. And so again, as we talked about, we see the upper end of the rental market. So again, north of $2,000 a month remaining very competitive. Where there may be opportunity to see continued improvement in market rents, though remains in the more affordable product. And so communities where market rents are $1,400, $1,500, $1,600 where affordability is so high, that's where we can see some market rent adjustments upwards. And you see that even in our own portfolio, Kyle, if you look and segment by market, you can see that our more affordable markets are seeing market rent increases. In our more expensive markets and expensive product, that's where you've seen us adjust market rents. We see that trend continuing for 2026.
Operator: Your next question comes from the line of Mario Saric from Scotiabank.
Mario Saric: I just wanted to clarify, James, your comment on the expectation for consistent renewal spreads would consistent essentially be defined as kind of 3% to 4%, which is what you did in Q4?
James Ha: Yes. Similar -- if we look at Slide 10 there, portfolio-wide tracking in the 3% to 4% range. We are looking for that to remain consistent through the spring.
Mario Saric: Got it. And where would you say -- like if you compare, let's say, your sub $2,000 per month portfolio relative to market, given you adopted the gradual or the restrained rent increases over time, where would you characterize your kind of mark-to-market for your -- how much lower are you than peers in terms of your in-place rent today in the affordable portfolio?
James Ha: Our market rents are fairly dynamic, and we're pricing those all the time. And so I know we get this question regularly, but in non-price controlled markets, I mean, it is quite fluid. And so as we head into the spring rental season -- sorry, let me start with -- as of December, we feel that, that mark-to-market, I think you can find it on Slide 47, is fairly accurate for that point in time. So again, December 31. And keep in mind that mark-to-market doesn't come from just new leasing. It also comes from renewals as well. And so as we head into the spring rental season, I think with the traffic we're seeing, again, in our more affordable product, as we talked about earlier, we see occupied rents continuing to increase, but we also see market rents continuing to increase in that more affordable product. And so to quantify it, Mario, I think that slide does a pretty good job of it at that point in time. If I had to guess what that's going to look like for March 31, I think you're going to see occupied rent increase because the majority of our portfolio remains in that affordable bucket. And I think you see market rents increase a little bit in that more affordable segment, which again represents the majority of our portfolio.
Mario Saric: Okay. Okay. And then just switching from my last question. Within the guidance, you mentioned there's no dispositions included to the extent that you were to kind of hit your target on dispositions for the year based on, I guess, the in-place debt profile, if you were to hit your target and redeploy the proceeds into your NCIB, would that be FFO accretive or kind of neutral or dilutive in your view?
James Ha: Mario, it's James. It would be accretive subject to timing. And so that math is simple, right? I mean it's -- you can see it even with this Montreal disposition proceeds from January, where we're selling noncore communities that under a 5 cap, we're turning around and buying back stock at 6.5%. That maths subject to timing, of course. And so our note on the disposition side is really just going to be subject to how quickly we can redeploy proceeds, which as more dispositions come through in the year, we'll provide an outlook and a view on that when that time comes.
Mario Saric: Okay. I was just thinking more along the lines of an FFO yield without kind of understanding what the debt profile of the potentially disposed assets could be, but it sounds like it would also be accretive from that perspective.
James Ha: Yes. On a levered basis, FFO yield is a metric that we look at as well, Mario. And of course, it depends on the assets that we're disposing of and what that leverage profile looks like, which is very unique from a community to community. But yes, you pin it bang on our view in terms of disposing noncore assets, that FFO yield and the alternate place where we can redeploy that capital is a huge consideration on our part as well. And yes, Mario, sorry, our expectation is that recycling is accretive.
Operator: Your next question comes from the line of Matt Kornack from National Bank Financial.
Matt Kornack: Just going back to the Montreal disposition; a, was there a mortgage in place on those 2 properties? And if so, kind of where were the interest rates? And then that product hold probably a little bit more challenging to manage, but it is affordable presumably. So how do you make the differentiation between what affordable you want to own versus what you're disposing of at this point?
Samantha Adams: Matt, it's Samantha Adams speaking. Yes, the debt on the 2 Montreal assets was about just under $23 million at a rate of just under 4%. I think it was about 3.9%.
Matt Kornack: And just in terms of, yes, just how you think about -- I mean, that product, I looked at it's got some rents sub $1,000 granted. That may not be affordable necessarily for the tenant types that would occupy those properties. But how do you kind of look at affordability and what you want to keep asset-wise versus what is noncore from a disposition standpoint?
Samantha Adams: Okay. Got it. Affordability sort of involves every decision we make on the acquisition side and on the disposition side. We are all about providing affordable homes to our resident family members. But in terms of decisions, whether or not we dispose of a property, affordability would play a part of it, but it also stems from other factors. There may be capital requirements. The building may no longer allow our incredible experienced team to amend or renovate the property to deliver the type of experience we want to deliver to our resident members. And it also provides a really cost-effective source of cash flow for us, so which we can then redeploy into whether it's our NCIB or ultimately back into new acquisitions. It is a really, really strong use of source of cash flow for us.
Matt Kornack: Okay. That makes sense. You mentioned, I think, that a portion of your growth is going to come from renewal rates in Quebec. They've been elevated for the last 2 years. The new rent control regime there, I think, favors kind of investment in the properties. Presumably, you're already investing. So is it just the ability to capture a percentage of that CapEx that you're spending in the properties that you think you'll get that excess renewal increases?
James Ha: We do, Matt. We see a continuation of that for [ 2026 ]. Our team has invested in our Quebec portfolio. We continue to, and we were very happy to see the acknowledgment for those capital improvements and to keep communities affordable in Quebec. And so we do expect elevated adjustments for our Quebec portfolio relative to the [indiscernible] guideline.
Matt Kornack: Okay. And then on Calgary, I know you gave a broader view as to how you see things evolving. But for that market, in particular, it seems like it's more supply, again, like the population growth is pretty good in Calgary, but it seems to be a more difficult or competitive jurisdiction at this point. What do you think the time horizon is for kind of supply absorption and as an improvement in that market from a market rent standpoint?
James Ha: Matt, Calgary has benefited and continues to benefit from population growth for all the reasons that we've talked about at length over the past many years. We've invested heavily in our portfolio and our average rents in Calgary as a result of those is $1,900. It's very close to that mark that we were talking about earlier. And so we are in that competitive segment within our own portfolio. We are seeing continued supply deliveries from communities that went under construction 2, 3 years ago. But as we're seeing in other parts of the country, economics matter and development -- peak development economics have come and gone. And so we would anticipate the under construction numbers and the number of projects that are starting to start to taper. But here in Calgary, because we have population growth, we do need that new supply. And fortunately, again, in Calgary, we are seeing a pretty good balance. We continue to see strong retention within our Calgary portfolio. We continue to prioritize that occupancy. I would anticipate we are starting to lap those -- that period of time where we saw more balance in Calgary. And so we are -- we could see some stabilization in terms of where those market rents are. But again, that's all going to be subject to what does the immigration profile look like? What are we doing with immigration across Canada? We still think Alberta is going to win relative to other places because of the low taxes, the affordable housing, all the things, again, we've talked about in the past. But again, are we going to see more permanent residents in the country? Are we going to see more nonpermanent residents in the country? And that will help define not just for Calgary, but frankly, across the country, what rental rates are going to look like in the short to medium term.
Matt Kornack: Yes. Makes sense. And then last operational one for me. You've done exceptionally well on NOI margins. I think you've troughed at 51% in 2017 on a trailing basis. You're up to 65%. That's ahead of where you would have been kind of pre-oil correction. Is -- it's sounds like your costs and your revenues are going to track each other, but do you think that's done in terms of margin expansion? Is there a structural ceiling? Or is there a little bit more to push on the margin front at this point?
James Ha: Definitely more to push, Matt. I mean it's a goal that we've communicated to all of our stakeholders that margin improvement is a big one for us. We still see a path through it. I know we gave ranges for that. But our team is doing a good job on controlling what we can control in addition to on some of our expense items like utilities, as an example, we have, as we talked about in the past, started to shift that consumption -- or pardon me, that expense to our residents who are actually the ones consuming that. And so that's helping keep rents low. It's helping us improve our operating margins. And it's helping us reduce overall consumptions within our portfolio, which is a win-win-win scenario. And so as we look forward, Matt, I think we're just getting started on the margins. We are aiming and building strategies and approaches to continue to improve that going forward.
Matt Kornack: Just as an update, we didn't hear any cheers on the call. So I just wanted to let you know as proud Alberta Canadians with Team Canada pulled out the win in hockey.
Samantha Kolias-Gunn: And congratulations to Team Canada.
Operator: There are no further questions at this time. I will now turn the call back to Sam Kolias, Chief Executive Officer. Please continue.
Sam Kolias: Thank you, John. As always, if there are any further questions or comments, please do not hesitate to contact us. With gratitude, we'd like to thank our entire team that puts the extra in ordinary day in and day out. Our team is truly extraordinary. Thank you, loyal family residents, CMHC, our lenders, partners and, of course, our unitholders from far and wide and local. It really is all about our BFF, our Boardwalk Family Forever, whose huge shoulders we stand. And as leaders, we continue to do everything we can to support continued growth and extraordinary. We can't thank our extraordinary team and great leaders enough. We are pleased with our improving results on a foundation of exceptional value, service and experience we continue to provide our resident family members, our investors and all our stakeholders. We conclude home is where our heart is, our heart is where our family is and our family is where love always lives. Our occupied rent average, $1,590. Our love always, priceless. Welcome home to love always. Our future is Boardwalk Family Forever. What can be more important when choosing where to call home? Well, we heard from Matt, maybe a Canada men's gold medal, but maybe not more important, but it's really high up there. And again, congratulations to our Canadian men's hockey team for winning gold. God bless us, and now more than ever, grant us all peace, our greatest prize of all.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.